Nicholas Rolli: Good morning and thank you for joining us. Earlier today we issued a news release which contains detailed information on Philip Morris International's 2008 first quarter results. If you do not have a copy you may access one on our website at www.pmintl.com. Following the completion of the spin-off, historical basic and diluted earnings per share amounts have been recalculated based on the actual number of shares distributed by Altria Group, Inc. on the distribution date. As a result, we are provided in today's news release a reconciliation of 2007 reported results to 2007 pro forma adjusted results by quarter and for the full year on Schedules 5 through 9. Accordingly, our 2008 EPS growth rates will now be compared to $2.79 per share versus $2.78 per share. Today's remarks contain forward-looking statements and projections of future results, and I direct your attention to the safe harbor statement at the end of today's news release for review of the various factors that could cause actual results to differ materially from projections. It's not my pleasure to introduce Hermann Waldemer, Chief Financial Officer for Philip Morris International. Herman?
Hermann Waldemer: Thank you, Nick, and good morning everyone. It is a great pleasure for me to host the first conference call of the newly independent Philip Morris International. We are very excited about the opportunities that lie ahead and were delighted to meet many of you during our road show in March. In our March 11 presentation, we shared with you our longer-term annual growth targets of 4% to 6% growth in net revenues with 1% to 2% volume expansion, 6% to 8% in operating income growth, and 10% to 12% EPS growth rates on a constant currency basis. In January we issued EPS growth guidance of 12% to 14% for 2008 off a base of $2.78. Since then we have witnessed further decline in the value of the U.S. dollar and accordingly we today increased our EPS guidance to reflect our business momentum and current exchange rates. Our 2008 full year EPS guidance now stands within a range of $3.18 to $3.24, representing growth of 14% to 16% from a revised pro forma adjusted basis of $2.79. This new guidance includes the marginally positive impact of the acquisition of Interval and other OTP trademarks from Imperial, and also includes an increase in building expenditures in some key markets to accelerate growth. Let me now share with you our strong first quarter results. Diluted earnings per share were $0.89, up 29% or $0.20 per share. Of this increase $0.11 per share reflects the strength of our business and favorable currency accounts for the balance of $0.09 per share. Net revenues excluding excise taxes were 14.1% higher at $6.3 billion, representing an increase of $781 million. After adjusting for currency, net revenues increased by 5.4% primarily reflecting improved mix and higher prices. Net revenues increased in all four regions and in the vast majority of our top 25 OCI markets. Reported operating company's income or OCI was 31.7% higher at $2.8 billion in the first quarter. On a like-forlike basis, excluding the favorable impact of currency, acquisitions, and the U.S. duty free business, OCI increased by 17.5% compared to 2007. This very positive result was driven by improved volume and mix in all the regions except the EU. Higher prices, particularly in the EU and EEMA, reduced administrative costs and the expected skew to the remainder of the year in the timing of some promotional, marketing and overhead expenses. OCI growth net of currency was very broad-based across most of our markets, with particularly strong growth recorded in Indonesia, Italy, Korea, Mexico, Poland, Russia, Turkey and Ukraine. PMI cigarette shipment volume increased by 2.2% or 4.6 billion units to 218 billion units driven by Argentina, Egypt, Indonesia, Korea, Mexico and Russia as well as by the positive impact of our acquisitions in Mexico and Pakistan. Excluding acquisitions and the U.S. duty-free business, first quarter volume declined by 0.5% or 1.2 billion units due mainly to the continued overall market declines in the EU and Japan. In terms of market share, we made progress in many of our top 25 OCI markets, including Argentina, Egypt, Mexico, the Netherlands, Russia and Ukraine. In Poland and Turkey, while we lost share in the lowest price categories, we improved our mix and substantially increased our profitability. Marlboro shipment volume declined by 1.2% to 77.3 billion units, with growth in EEMA, Asia and Latin America regions offset by a decline in the EU. On a like-for-like basis, excluding the U.S. duty-free business, Marlboro volume declined by 0.6%. Outside the EU Marlboro volume increased by 3.7% driven by its strong performance in Argentina, Indonesia, Korea, Mexico, Russia and Ukraine. Marlboro Filter Plus, Marlboro Intense, and new menthol variants are helping to re-energize the brand in key markets. We continue to work on the repositioned L&M in Eastern Europe, and are encouraged by the positive developments in the renewal of the brand's smoker base with an improved age and gender profile. Nevertheless, L&M shipments continued to decline in the first quarter though volume trends remained positive in the [inaudible] region. As we explained during the road show, the repositioning of L&M in Eastern Europe is not a short-term exercise, but will take time before positive results are reflected in volume trends. The decline in L&M in Eastern Europe has been largely offset by the very strong performance of the higher-margin Chesterfield, which grew by 18% during the first quarter. The brand is doing particularly well in Russia and Ukraine, but it's also performing strongly in such markets as Italy and Spain. While our other key international brands continue to perform strongly, I would highlight the continued positive development of Parliament. Volume increased during the first quarter by 19% thanks to Korea, Russia, Turkey and Ukraine, and we are further expanding the brand geographically to build on this momentum. Parliament, with its unique taste and defined packaging, occupies a special place in our portfolio, positioned in many markets at the premium price for Marlboro and generating superior margins. Let me now comment on key specific developments in our four business segments. I will begin with the EU region, which remains PMI's most profitable region and was the single largest contributor to PMI's reported OCI growth with an increase of $279 million to $1.3 billion driven by favorable currency and higher pricing partially offset by legacy volume mix. Excluding currency, OCI in the EU region increased by 9.8%. OCI was only down in one of our most important markets in the EU region, namely in France. There our volume and share declined, we believe temporarily, as a result of Marlboro moving above the round price point of 5 Euros. I would like to highlight in terms of positive OCI developments in the EU - our continued profitability growth in Italy, our strong recovery in Spain, and markedly higher OCI in Poland. This strong profitability was achieved in the context of a rather extraordinary estimated total regional cigarette market decrease of 5.5%. This decline was driven by higher retail prices across the region, the implementation of further smoking restrictions in France, Portugal and most German states as well as tight inventory movements in the Czech Republic. Results in the EU during the first quarter of 2008 highlight our ability to successfully grow profitability in challenging circumstances. PMI's EU shipment volume reached 62.8 billion units, a decline of 3.9 billion units versus 2007, largely reflecting the overall market decline. PMI's overall estimated market share reached 38.8% in the first quarter as positive developments, notably in Belgium, Italy, the Netherlands and Spain were more than offset by share declines in France and Poland and the impact of the aforementioned tight inventory movements. Marlboro's share was down slightly during the quarter though there was sequential improvement compared to the 2007 first quarter share. Turning to key markets, our strong performance continued in the first quarter of 2008 in Italy. Our market share was up 0.5 points to 54.7 driven by Chesterfield, Merit and our local heritage brand, Diana, partially offset by a decline in Marlboro's share, which we are addressing through normative line extensions such as the recently launched Marlboro Compact, a product similar in concept to the Marlboro Intense launched in Turkey but lighter in taste. In Germany, total industry shipments were down 2.7% in the first quarter and PMI's reported share declined by 0.2 points, however, adjusted for competitive inventory changes. We estimate that our cigarette share was up 0.9 points, with L&M now gaining share predominantly from other low-price brands rather than consumer downtrading. We also performed strongly in the fine cut segment, with a quarterly share of over 12% largely driven by innovation. In Spain the total market was up by 5% following weak generally 2007 sales driven by a tax and price-related buildup of trade inventories at the end of 2006. Our market share was slightly higher at 31.8% behind a strong portfolio across all key price segments, with Marlboro and Chesterfield gaining share. Profitability is also recovering strongly. As mentioned, our business in France has come under pressure after increasing [inaudible] prices last year. However, PMI's total market share has sequentially stabilized compared to the fourth quarter of 2007 thanks to the strong performance of Philip Morris Filter Kings. We believe that over time consumers will adjust to the new pricing environment and we are taking steps to further enhance the equity of Marlboro. We're also reinforcing our position in the French fine cut market through the acquisition of Imperial, the segment in France. In the EEMA region, we achieved excellent results in the first quarter helped in part by a favorable comparison to the 2007 first quarter. Net revenues excluding excise taxes rose 20.8% and grew 11.8% excluding currency. Shipment volume in EEMA increased by 2.9% to 75 billion units as we gained volume and market share in the key markets of Russia and Ukraine, continued our growth momentum in Egypt, and reinforced our penetration of two markets which we have entered more recently, namely Algeria and Bulgaria. Reported OCI in the EEMA region increased by $225 million during the first quarter to reach a level of $792 million driven by higher volume and pricing, positive product mix and favorable currency. This represents a quarter-on-quarter growth rate of 39.7% and 31.6% excluding currency. These results reflect increased profitability across all our Eastern European and Balkan markets as well as other geographies such as Egypt and Turkey, to name just two. Russia shipment volume was up 7.8% in the quarter thanks to favorable comparison with a weak quarter in 2007 and our improved underlying business performance. Both net revenues and OCI expanded at the fast pace. Our high-end portfolio of Parliament, Marlboro, Virginia Slims and Chesterfield and our infrastructure in [inaudible] position us very well in terms of business fundamentals at a time when the Russian economy and consumers in large cities are benefiting from continued economy growth. Marlboro recorded double-digit volume growth during the quarter and its market share was up. We are particularly pleased by the progress of the normative Marlboro Filter Plus, which we introduced in key cities during the second half of 2007. The brand has already achieved a market share in Moscow of some 1% and consumer reach research indicates a very positive impact on the perception of the whole brand family. The key driver of our continued volume growth and share expansion in Ukraine was Chesterfield, which grew volume by over 30% in the quarter. Overall, PMI's quarterly share reached a record level of 34.7%. Our profitability in Turkey surged over 30% during the first quarter thanks to higher pricing and an improvement in our brand mix. The share of premium brands in our portfolio was up from 39% in the first quarter of 2007 to 44% this year. Parliament is performing very well, with volume up over 25% and a gain of almost 1 market share point. Egypt also merits special attention as it is an excellent illustration of PMI's ability to grow volume, share and profitability in emerging markets. The market has grown at 2% a year since 2002 to reach 75 billion units last year. Our portfolio is made up of premium-priced Marlboro and Merit, mid-priced L&M, and low-priced Mix. All four brands are performing well, which enabled us to achieve first quarter market share of 13.5% and a share of the international segment in excess of 75%. Our business in Asia has been strengthened by acquisitions and the robust performance of our brands in such markets as Indonesia and Korea. This has helped to offset the challenging environment in Japan, where the overall market is declining, pricing flexibility is limited, Marlboro's share has lagged our growth expectations, and Lark has been under pressure. Reported OCI in Asia was up by a strong 24.5% in the first quarter to $584 million driven by favorable currency, higher prices, and positive volume mix. Excluding currency and acquisitions, OCI increased by 17.5%. There were positive developments in nearly all markets, led by Australia, Indonesia and Korea with the key exception being Japan. Net revenues excluding excise taxes were up 10.2% and 6% excluding currency. At 57.1 billion units, shipment volume was helped by the 5 billion unit contribution of Pakistan. Shipment volume was up 10% and 0.4% excluding acquisitions. PMI's market share increased in Korea and Thailand, remained stable in Australia, and declined in Japan, Malaysia and the Philippines. Marlboro volume increased in Asia during the first quarter and Parliament and Virginia Slims also showed positive trends. The Japanese market declined by 3.6% in the first quarter but is down 4.3% on a 12-month moving average basis. We are expecting this trend to continue during the year, and we might see some temporary disruptions from the introduction of age verification systems for vending machines. PMI's shipment volume in the first quarter was down 4%. Our 23.9% share during the first quarter in Japan was off 0.8 share points primarily due to Lark. We have the programs in place to correct this going forward though we expect the recovery to be gradual. We are addressing Lark through the rollout initially in the eastern part of Japan of Lark Classic and Lark Menthol X was launched during the quarter with encouraging early results. The brand family is being supported as of May with a revamped marketing campaign. In addition, Marlboro Ice Mint is performing well in the menthol segment, and we have other normative initiatives in the pipeline in order to accelerate Marlboro's growth going forward. We are confident that all these initiatives should help grow our market share in Japan. In Indonesia shipment volume increased by 5.6% in the quarter and profitability was strong though our market share was off slightly to 28%. Marlboro Kretek continues to perform well and provide an overall boost to the whole brand family. Marlboro's share in Indonesia increased by 0.3 share points during the first quarter to 4.2% and we have launched A Volution, the first kretek offering in the super slims format. Korea was the first market where we introduced Marlboro Filter Plus. It continues to provide a stimulus to the overall franchise, with Marlboro's total share up to 4.5%. Parliament and Virginia Slims are also gaining, and late last year we introduced a local heritage brand called Lim. Let me conclude by regional review with Latin America. At $152 million, reported OCI was up 72.7% and 54.5% excluding currency and acquisitions. This increase in profitability is attributable to higher pricing, the impact of acquisitions of local trademarks in Mexico, and positive volume mix developments in Argentina and Mexico, partly offset by difficult trading conditions and distortions related to the January 2007 tax structure change in Colombia. Net revenues excluding excise taxes increased 10.8% and 6.9% excluding currency and acquisitions. Shipment volume was 5.6% higher at 23.2 billion units, but essentially stable after taking into account the contribution of 1.3 billion units from our acquisition in Mexico. On a regional basis, Marlboro shipments increased by more than 5% to over 10 billion units after the brand gained share in Argentina, Brazil, Colombia and Mexico. Mexico is our most important market in Latin America. Our profitability was up substantially during the first quarter as we gained share, achieved higher pricing, and benefited from our recent acquisition. Our quarterly share reached a record level of 67%, with Marlboro, Benson & Hedges, and Delicados all growing. We also successfully expanded our business in Argentina. Our share reached 70.7% in the first quarter as both Marlboro and the Philip Morris brand continued to perform well, thus helping to drive a double-digit increase in profitability. To sum up, PMI achieved very strong first quarter results by a number of measures. EPS growth was 29%. Net revenues excluding excise taxes increased in all four regions and were up 5.4% excluding currency. Operating companies' income was also up in each of the regions and was up a strong 17.5% excluding currency, acquisitions and U.S. duty-free. Our innovation pipeline is beginning to generate encouraging results, with more to come in the months ahead. The acquisition of Interval and other OTP trademarks will strengthen our position in a growing and profitable category and will provide us with an attractive economic return. We will begin our two-year, $13 billion share repurchase program in May. While we expect our marketing and promotion spending notably behind new initiatives will be skewed towards the remainder of the year, we are confident in our ability to deliver the 2008 EPS growth rates outlined in our revised guidance today. We have in place the strategies, the brands and the people to deliver against our commitment to achieve superior returns for our shareholders. That concludes my prepared remarks, and I will be pleased to take your questions.
Operator: Thank you. (Operator Instructions) Our first question is coming from Judy Hong with Goldman Sachs. Please go ahead.
Judy Hong - Goldman Sachs & Company, Inc.: Hi. Good morning, Hermann.
Hermann Waldemer : Good morning, Judy.
Judy Hong - Goldman Sachs & Company, Inc.: My first question is just in terms of your operating growth behavior in the first quarter. I mean, clearly we saw a huge operating leverage with constant currency revenue up 5.4% but operating profit up close to 17%. Can you just talk a little bit about what's driving that, whether it's the timing of some of the cost savings? You've mentioned the promotional spending being more skewed to the back half of 2006 of the year. Can you just quantify how much that really affected the first quarter and how we think about that for the remainder of the year.
Hermann Waldemer: Okay. It's of course, I mean, as you said, I think it's a combination of all of the above. Yes, we had pricing in the quarter. We had, most importantly, improving business fundamentals in our overall business, I think in all of the four regions, as you can see by the growth in both net revenues and also operating companies' income. There is some cost skewing towards the remainder of the year - spending skewed towards the remainder of the year. Our cost measures that we have taken essentially all across the cost categories are bringing results in as well. So it's all of the above, so it's an extraordinary quarter but also if you take it for the year as expressed by our new guidance, we are set for strong growth for the year.
Judy Hong - Goldman Sachs & Company, Inc.: Okay. In following up on that just in terms of what is embedded in your guidance as far as the currency is concerned, how much impact are you looking at now for the remainder of the year and does that assume that the currency stay at the same rate today or how are you thinking about that number?
Hermann Waldemer: Well, let me - I think it's best if I describe to you a little bit the elements that went into our new guidance, what did we consider in there. It's actually four elements that went into our consideration. The first one is, of course, the currency and the favorable currency tailwinds that we see. However I would also like to say it's just April 23 right now and there are a couple of months to come throughout the year. The second point really is our business momentum, improved fundamentals and our business momentum that we see really across our businesses, and we can go later into specific markets, how they are doing. The third element is also that we want to do some reinvestments into some of our key markets. That is also an opportunity to do so, and we will do that in order to accelerate future growth. So there is an investment part going into the equation, if you like. And the fourth element is really some expenses, as I said, skewed towards the remainder of the year. And then we took all those four and this is how we come to 14% to 16% EPS growth for the year. So it's a mixture of the four elements.
Judy Hong - Goldman Sachs & Company, Inc.: Okay. And then just my final question, looking at the EU region, can you quantify how much the trade inventory distortions in Czech and Germany impacted your shipment numbers in the first quarter. And secondly, you know, are you surprised at all by the magnitude of the overall market decline following the price increases?
Hermann Waldemer: Okay. I mean, let me start there really giving some color on the EU market decline. There is really one effect in there which is enormous which is the one of the Czech Republic. If you take out of the total market decline of 5.5% in the EU the Czech effect, then you're down to 1.9% and you are back to what we believe going forward in the midterm is a market rate decline for the EU region between 1% and 2%. So the Czech situation, maybe I should describe a little bit what's going on there because it's such a specific and a bit strange situation. Total market in the Czech Republic in the first quarter is actually down by a dazzling 75%. I mean, this is a strange situation and it's actually what I would call a prime example of undesired effects of assembled inconsistent [policy] in a country. You don't have efficient forestalling regulations in the market, which means that you can have old tax, old price product in the markets with durations anywhere between six and 12 months beyond the date of an excise tax change. That doesn't make a lot of sense. It, of course, also has competitive consequences in such a market. The smaller you are, the higher your durations tend to be because you have smaller volumes so on your brands you can have longer durations. You're at a certain disadvantage if you're big like we are in the market. So these are all these distortions, but if something is distorted at such a magnitude, I think that also can give us the confidence that this is bound to change. It might need a transition. It might not change in one go, but it's bound to change. So that is really the most important point to get back to the EU market decline. It really has had an impact there.
Judy Hong - Goldman Sachs & Company, Inc.: Okay. Thank you, Hermann.
Hermann Waldemer: You're welcome.
Operator: Thank you. Your next question is coming from Filippe Goossens with Credit Suisse. Please go ahead.
Filippe Goossens - Credit Suisse: Yes. Good morning, Hermann, and congratulations for a blowout quarter. We really were very pleasantly surprised here.
Hermann Waldemer: Thank you very much, Filippe.
Filippe Goossens - Credit Suisse: A couple of housekeeping questions first, if I may, Hermann. The first one, do you have any color in terms of what Capex and free cash flow were for the first quarter?
Hermann Waldemer: We are on target for our free cash flow targets for the year, so there is nothing unusual. We are perfectly within the guidance that we have given before.
Filippe Goossens - Credit Suisse: Okay. And can you give us how much of the cost cutting was already realized in Q1?
Hermann Waldemer: They'll come in -- we, of course, see the benefits of our measures -- administrative, procurement, operations productivity, everywhere. Going forward, I mean, what we intend to do is actually, I mean, to give an update on our cost program, say, once a year, not really every quarter. That probably would be just too much of a detail, and you have the swings between the quarters. But really, to the essence of your questions, are we on target for our cost savings and profitability improvements? Yes, we are.
Filippe Goossens - Credit Suisse: Okay. Then my real questions here, Hermann, number one, in terms of the reinvestment that you referred to later on this year, can you give us a little bit more specifics in terms of what you plan to do and the dollar impact?
Hermann Waldemer: Okay. I mean, of course I have to be a bit careful here for competitive reasons. Let's agree that I give you one example which is a pretty obvious one which is Japan. We all remember the situation in Japan, that we had the Marlboro take back at the time, we had the distribution focus of our company at the time. There was tremendous profitability increase at that time also driven by that. We somewhat missed out on the marketing part. We have a new management in place that is really focused on the marketing and on the refilling of the innovation pipeline. So that's really what we want to support. So if you like, in Japan I would say we have put both the human but also the financial resources to correct the situation there, and we will invest where we have our issues. We have our number one issue in Japan, which is Lark. There, there are two things right now and there is more to come. There is the launch of Lark Classic out in a part of the market, but that's bound to be rolled out to the entire market. There is the support by a really new campaign for the entire franchise. There is Marlboro Menthol X launch out there, which is performing well. As you know, the menthol segment is a key segment, a key growth segment in the Japanese market. We are out there also in the Marlboro side with Marlboro Ice Mint. We have more to come there. This is a very competitive segment, so I, of course, won't say yet what exactly it's going to be, but there is more to come on our franchise. So I think these are the areas - the problem areas, if you like - and this is, of course, also where the money goes. A last point maybe to mention, which is that the implementation of age verification on the vending machines, that certainly will trigger some changes in the consumer purchasing pattern, and that also needs support in terms of sales force distribution but also in terms of money. So that will be an example of where that reinvestment money goes.
Filippe Goossens - Credit Suisse: Maybe just as a follow up on Japan, then, Hermann, given these secular threats and consumption declines, do you see any opportunities on the smokeless side over there?
Hermann Waldemer: Yeah, look, I mean, as highlighted by our acquisition of Interval, we consider ourselves to be a tobacco company. We always look at all alternatives. But I think for now we rather should concentrate on the problem at hand, which really is the decline of Lark and the missing growth - Marlboro is stable - the missing growth of Marlboro in Japan. That's where I would say we should focus and we will focus on now.
Filippe Goossens - Credit Suisse: Okay. The next question, Hermann, if I have my numbers correct using your $0.46 in dividends for the quarter, if I annualize that and I look at the share price, obviously, the share price will be up this morning, but I'm coming out with less than 4% dividend yield, which puts you at the lower end, particularly compared to the U.S. players out there. When can we expect the dividend payouts to go up, particularly if you look at your very strong balance sheet even after the share buybacks?
Hermann Waldemer: Okay, I think there we have to stay with the facts. The facts are that we have an annual rate of 184. We have $0.46 cents for the quarter. The other fact is that we have a payout ratio of 65%. And the rest is entirely up to the Board and it is a Board decision, including the timing.
Filippe Goossens - Credit Suisse: When is the next Board meeting, Hermann?
Hermann Waldemer: There are seven Board meetings throughout the year, and if you refer to the Altria [inaudible], they had that in August. But that doesn't mean anything on PMI. This is a new Board, and the new Board will decide that question in its entire discretion.
Filippe Goossens - Credit Suisse: Okay, then just my final question if I may, Hermann. Obviously you have been a big beneficiary of uptrading in emerging markets. Now, let me be for one second a little bit more skeptical. If people are concerned about the weakness in the U.S. spilling over to other markets and you would see a slowdown in the growth rates in emerging markets, is there risk that this whole uptrading trend may slow down or, in a worst-case scenario, you would actually reverse?
Hermann Waldemer: Okay. There are two elements in here, I think, in your question. I mean, the first one is that I believe we are in a wonderful position with our premium-secured portfolio to benefit from uptrading in emerging markets. That is a positive for the entire company. Now, of course, I mean, driven also by the question of raising food prices and so and so forth, could that have eventually some impact on the disposable income of consumers in emerging markets? Yes, that cannot be excluded. I mean, that is happening as we speak in Indonesia. But I really have to tell you we don't see any impact on our brands, on our sales from that right now.
Filippe Goossens - Credit Suisse: Okay, great. Thank you so much, Hermann.
Hermann Waldemer: You're welcome.
Operator: Thank you. Our next question is coming from Chris Growe with Stifel, Nicolaus. Please go ahead.
Christopher Growe - Stifel, Nicolaus & Company, Inc.: Thank you. Good morning, Hermann.
Hermann Waldemer: Good morning, Chris.
Christopher Growe - Stifel, Nicolaus & Company, Inc.: Hi. I just had a couple questions for you, and my first one was just to kind of go back to a question I think Filippe had asked about cost savings. Is it reasonable to assume that you - in the year - was about a third of those, what you outlined for the three-year program?
Hermann Waldemer: Look, I mean, it is a three-year program. We have thought it, the activities which are the basis the ability to generate those savings already last year and the year before, so these are ongoing programs. Overall, yes, we will deliver that at a constant pace over the years. It's coming in. The programs are on track everywhere.
Christopher Growe - Stifel, Nicolaus & Company, Inc.: Okay. And then just to go back to I think a number you gave in your remarks. I think you said that Marlboro volume outside of the EU was up 3.7%. Is that correct?
Hermann Waldemer: Yes, that's correct.
Christopher Growe - Stifel, Nicolaus & Company, Inc.: That's obviously a very big performance. I'm just curious within that is there - you've got a lot of new products focused on Marlboro. Are you seeing a lot of benefit from those new products or is this more just sort of base business growth with a little kicker, if you will, from the new products?
Hermann Waldemer: Look, I mean, the new products and the refilling of the pipeline are really key to the innovation strategy. So if you talk Filter Plus, if you talk Intense, Ice Mint, or if you talk Marlboro Kretek in Indonesia, these are on one side new offers, extremely attractive for the consumers, that's one thing, but you also do have a halo effect driven by innovation on your entire franchise. So it's good from both perspectives. And if you look a little bit into the region or into the markets, well, go to Indonesia. There you have Marlboro Kretek doing very well. It's actually [inaudible] the process of expanding distribution to the entire territory of Indonesia. It's doing well. And at the same time, we see a renewed growth for what we call the MR [inaudible], i.e., the Marlboro traditional. Korea, a little bit the same thing, Marlboro Filter Plus. Marlboro itself also growing to 4.5% market share. Russia-Ukraine, I would again say, Filter Plus helping in that growth, but also again re-energizing the franchise. You go to Mexico and here you have Marlboro Lights, which is doing very well in the market. So it is both. It is good, it is generating volume by itself as a line extension, but it is bringing news value, energy to the entire franchise, and that's how we go about it.
Christopher Growe - Stifel, Nicolaus & Company, Inc.: Okay. That's great. And then the last question I had for you was just on your marketing reinvestment, the incremental investment. Is that primarily focused on your problem markets or is it more about, you know, generating growth in some of the faster-growing markets? So are you trying to fix some problems or are you trying to sort of accelerate growth in some markets with that money?
Hermann Waldemer: Well, it is both. I mean, we don't only want to fix the Japanese problem, we also want to grow it. So it's both, and this is how you go about investment when you have problems. But also - and maybe even more importantly - where you have growth opportunities. And actually Japan is an example for both.
Christopher Growe - Stifel, Nicolaus & Company, Inc.: Okay, great. Thanks for your time.
Operator: Thank you. Our next question is coming from David Adelman with Morgan Stanley. Please go ahead.
David Adelman - Morgan Stanley & Co., Inc.: Good morning, Hermann.
Hermann Waldemer: Good morning, David.
David Adelman - Morgan Stanley & Co., Inc.: A few things, Hermann. First of all, I think in '03 when there was a conscious decision to increase investment internationally the company quantified the spending. Are you willing to do that this year?
Hermann Waldemer: I'm afraid I'm not willing.
David Adelman - Morgan Stanley & Co., Inc.: Okay. Secondly, Hermann, broadly speaking, what's the risk that your incremental spending damages some of the competitive piece that's broken out in so many of these markets?
Hermann Waldemer: Look, I mean, of course, markets are always competitive, and our spending is there to improve our situation. And that's what we are really all concerned about, and this is what we are doing.
David Adelman - Morgan Stanley & Co., Inc.: Okay. But you're not unduly concerned about a response to your higher spending levels?
Hermann Waldemer: Look, I mean, we do what is good for our company and to think on our competitive position. I can't answer for the other companies.
David Adelman - Morgan Stanley & Co., Inc.: Okay. Also, Hermann - and this was asked before but let me ask it again - there's such a remarkable improvement in the operating metrics of the company looking at sort of organic volume growth versus local currency operating profit growth. Can you go through again sort of the major dynamics that are resulting in such better performance coming into this year than you enjoyed even in the second half of last year?
Hermann Waldemer: I mean, look, I think really we see here the key elements - oh, there is a beep now in the line here. Okay, can you hear me all right?
David Adelman - Morgan Stanley & Co., Inc.: I can hear you fine.
Hermann Waldemer: Okay, good. Okay, look, I mean, what we see here is really I would say the confirmation of what we have said during the road show, where we believe we are going and that we believe we can deliver and we will deliver. I mean, there is an overall improvement in the business fundamentals. We did not see really the disruptive type of excise increases that triggers all the undesired consequences that these do. So we see that governments are more conservative, if you like, or applying those increases in a more rational manner. So that's what's working well. That is an important element. On the other side, I would say whilst we still have a lot of work to do going forward and we are doing that work, you see that our innovation pipeline begins to be filled up. It is improving and we are getting things out of the gate here. Still room to improve and we will improve further, and you will see more. So I think these are main elements. And in the emerging markets, well, we are performing well. We are doing well in terms of market share. We benefit from uptrading in those markets, which is the strength of our portfolio. Look, we have, as we all know, we have seven out of the top 15 brands in the world. And even if you look at one of our problems that we clearly have which is L&M in Eastern Europe, yes, we have a problem there. And, you know, what we have done there - revamped the product, the pack and the campaign - and we are really positive that this is going to show results. At the same time - and here I come back to my seven brands out of the top 15 - you have a Chesterfield, another midpriced brand actually priced slightly above L&M in those markets, which is growing tremendously and helping there. So it's the broadness of our portfolio and the strength of our portfolio that also helps us.
David Adelman - Morgan Stanley & Co., Inc.: Okay. And then, Hermann, two last things. In Japan, with the vending change in that market, what's the risk that the business sort of relives the situation in Germany that you suffered through last year, being over shared relative in vending versus convenience stores?
Hermann Waldemer: Okay. There are two elements to it. I mean, first our vending - we are not over proportionately present in vending share. Actually, our share in C-stores is higher than in vending. The second part of the answer is, of course, what will be the changes in consumer behavior, in purchasing patterns in the market. That's difficult to predict. We will see some changes and some skews towards C-stores in the market, to what extent that is difficult to see right now. But the specific problem we had in Germany we don't have in Japan.
David Adelman - Morgan Stanley & Co., Inc.: Okay. And then lastly, Hermann, in Germany are you lobbying for an increase in the minimum tax size to 20 sticks?
Hermann Waldemer: Look, I mean, that is certainly something that would make sense. That is something that I believe the government is considering. It's, at the end of the day, a governmental decision. We certainly support it, but let's see what the decision is going to be.
David Adelman - Morgan Stanley & Co., Inc.: Okay. That would be a nice precursor to a price increase - my comment, not yours. Bye. Thank you.
Hermann Waldemer: Thank you.
Operator: Thank you. Your next question is coming from Jonathan Fell with Deutsche Bank. Please go ahead.
Jonathan Fell - Deutsche Bank : Morning.
Hermann Waldemer: Good morning.
Jonathan Fell - Deutsche Bank AG: First thing I wanted to ask about was some more of the reason behind the kind of outsized gain in operating income in the first quarter. Looks to me like first quarter the proportion of marketing, admin and research costs to net sales dropped by about 300 basis points versus where it was last year, so I'm just wondering how much of that is cost savings stuff and how much of it is just due to timing of your marketing budget. And what would you expect to happen for that figure for the full year versus last year? Are we going to see an ongoing decline in that line as a proportion of sales for '08 or is it going to be broadly similar?
Hermann Waldemer: Yeah. Okay, there are three things in there. I mean, of course, there is the cost saving part in there. There is the second part, which is, as we said, of some expenses skewed towards the remainder of the year. But there are also some favorable comparisons in there to last year where we had a couple of one-timers which we don't have this year. So it's those three things in total. And the cost and the cost skewing toward the remainder of the year will, of course, remain throughout the year or is just a fact.
Jonathan Fell - Deutsche Bank AG: Okay. And as a proportion of sales, would you expect that line to be broadly flat or can it drift down because of the cost savings element?
Hermann Waldemer: Look, I mean, our cost savings are in there. It comes back essentially there to the guidance question, I think. There are all these elements in there that are - our cost savings in there, our productivity in there - but there are also the reinvestments in there, and if you take it all together this is what brings us to the new guidance.
Jonathan Fell - Deutsche Bank AG: Second question just on your business model and the relationship of the 2008 performance to that, particularly as it relates to volume growth because, you know, I think organic volume growth in the first quarter down 0.8%. You flagged that '08's going to be a difficult year but that you would hope to be hitting your 1% to 2% volume target in future years. I'm just wondering how you see that as a business and what the reasons for that would be. Is it because you're going to slow down in the rate of decline in the total European market? Is it because you're going to accelerate share within EU? Or is it because you expect an acceleration in volume growth in other parts of the world?
Hermann Waldemer: Well first, I mean, the real - the organic number that you should look to is not minus 0.8. It's minus 0.5 because you really have to deduct also there the U.S. duty-free business which was in our numbers last year and is not in our numbers this year.
Jonathan Fell - Deutsche Bank AG: Okay, fine. Yeah.
Hermann Waldemer: So it's 0.5. It is actually therefore perfectly in line with what we said previously, i.e., a slight decline still in 2008. Going forward, look, I mean, we spoke before on different questions about our innovation pipeline and what we are doing for our key brands - Marlboro, but not only Marlboro, also the other seven - and there also as you can see in the news release, I mean, we have nice growth rates on a lot of our other brands. Parliament is doing extremely well. Chesterfield is doing extremely well. Virginia Slims is growing. So there are good signs for our portfolio and for our innovation pipeline across our brands. That's what makes us believe that we can improve and will improve market share performance, and I would not just link that just to a region. This is on a market-per-market basis but, if you like, across the world. The other part of your question is, of course, the question of the market declines in the EU. I mean, as I said, I mean, take Czech out - which is really a special situation - you are at minus 1.9. You're within the 1% to 2% market decline that we see for the European Union. And I believe also if you go to Japan, the other important market where we see declines, I think it's going to be the 2% to 3% that we - as we said during the road show - I think that's what you see going forward there. A bit sharper right now; I think that's going to calm down.
Jonathan Fell - Deutsche Bank AG: And the share loss that we've seen in Japan in the last quarter, I mean, it did seem to accelerate slightly from what we were seeing at the end of last year. Is there any particular competitive activity that is causing that or have you taken the case off Lark a bit in advance of re-launching it? What's the explanation for that, would you say?
Hermann Waldemer: No, really, I mean, to be very frank with you, Lark is a problem. I mean, our market share loss in Japan is principally related to Lark. Marlboro is essentially stable, so it's really Lark where we have the decline. We are doing what we believe we have to do, which is skew towards two trends, if you like. One, menthol is very important in the Japanese market. That is Lark Menthol X. There we have done something. And then you also have to cover more of, let me call it, the more traditional, more conservative side of your smoker base, which is not menthol, which is full flavor. That is the Lark Classic. And overall your performance in the market is also linked to campaigns. We've come up with a revamped campaign for the entire franchise. So we focus very much on it, but, well, the situation is the situation it is. But we work on it; we work on it very hard, and we believe that driven by what I said before and more initiatives to come we can turn it around.
Jonathan Fell - Deutsche Bank AG: Thanks a lot.
Hermann Waldemer: You're welcome.
Operator: Thank you. Your next question is coming from Christine Farkas with Merrill Lynch. Please go ahead.
Christine Farkas - Merrill Lynch: Thank you very much. Good morning, Hermann.
Hermann Waldemer: Good morning, Christine.
Christine Farkas - Merrill Lynch: Just a couple of quick follow ups, if I could. Your top-line growth, currency neutral, of 5.4%, if we look at your reported volumes of 2.2, suggest real price growth of 3.2. I just want to understand I'm looking at that correctly. Given fewer disruptions in the excise taxes, can you talk a little bit about, firstly, what the underlying price contribution was as well as the mix contribution or if that took away, and secondly, is that a good formula going forward? Should we see that kind of amalgamated price mix growth on the top-line on a currency neutral basis?
Hermann Waldemer: Look, okay, I mean, if you take currency out and really, I mean, you see that the improvement of the business performance is highlighted by the numbers that you see in the release is actually quite a bit higher than the currency variance, which is only 255 for the quarter. The business performance of course consists of various elements. It's clear that the pricing variance is an important part of that - and actually that's a positive, I would say - but it's also clear that it's not the only part in there. There is cost as a part in there, but there is also improved performance in there which is expressed by an improvement in the volume mix. I mean, volume mix is positive in three regions and is negative in one region, which, of course, is the one where it's down is the European Union region. So that's a bit of parameters in the game here, and they all play together. But look, I see improvements, if you like, in all of them. Pricing is important. That's good. That's normal. If you like, we're going to keep on looking at our costs, and we will work on our innovation pipeline across the brand, which is the volume mix. And I think we see some improvement there. We clearly see, actually, some improvement there in the volume mix.
Christine Farkas - Merrill Lynch: Okay, great. And moving just to two market questions. Firstly, in Russia there was a nice pickup in market growth there and given some easy comps, I'm just trying to understand your perspective of what you think a normalized growth rate might be in Russia in the intermediate term.
Hermann Waldemer: Look, I mean, the Russian market is actually very difficult to measure, to be frank with you. It is growing; to what extent it is growing is difficult. There is not such a precise measure, but it's one of the emerging markets that is growing. What is more important for us in there, actually, is the operating potential that the market has where you clearly can see that, I mean, starting with Parliament, there's Marlboro, also there's Chesterfield, where this is, of course, a very attractive market for us and we are doing pretty well. You are right, also, with your comment that there are some easy comps to the first quarter. In Russia, that's true. On the other hand, that shouldn't distract us from the point that Russia is a very good story.
Christine Farkas - Merrill Lynch: Okay, great. And the final question, Hermann, is on China. Can you just update a little bit on the progress there and what you see in the remainder of the year in both the export business as well as Marlboro within China?
Hermann Waldemer: Okay. In China we are really absolutely on track, also, compared to what we said during the road show. So we expect on the domestic market the launch of licensed-produced volume Marlboro in China actually the summer of this year. This is going to come. We are on track on this one. On the international venture, RGD has been launched in the Czech Republic. It's a very successful launch. We have done consumer off-take tests in some shops. We see consumer off-take above 1% market share. That's a very good result for that one. So we are on track there also on our plans to expand further into other markets in the Chinese joint venture.
Christine Farkas - Merrill Lynch: Okay, great. Thanks a lot, Hermann.
Hermann Waldemer: You're welcome.
Operator: Thank you. Your next question is coming from Erik Bloomquist with J.P. Morgan. Please go ahead.
Erik Bloomquist - J.P. Morgan Securities Ltd.: Hi. Good morning, Hermann.
Hermann Waldemer: Good morning, Erik.
Erik Bloomquist - J.P. Morgan Securities Ltd.: Just one question to follow up. I just was hoping you could discuss more the outlook in Germany. It appears to be still a market where there's pressure on the premium segment with the low-price segment continuing to gain share and OTP, as well, remaining strong. What are the prospects for that market to stabilize given that the taxes in East EU countries now have risen? Are we going to get to a point where Germany stabilizes and then perhaps see a recovery in premium as there's more innovation in that market? Any comments around that would be very helpful. Thank you.
Hermann Waldemer: Okay. Well, let me start by saying that Germany will always be a challenging market, and actually not just for the cigarette or tobacco category, actually for all consumer goods. That will always be the case. That being said, let me also say that our operating company's income in Germany is actually stable, net of currency stable. Then I would say that there are a couple of good indices in there, but I wouldn't say everything is beautiful already. It's not at all. There is still work to be done. But there are good indices. The first one I would say the Marlboro decline clearly has slowed down. It's on the way to stabilization, I would think. L&M in the market is the fastest-growing brand. It's actually now sourcing from other low-priced brands and not just benefiting from downtrading. Order sales, I would say, are stable. There are some signs of decline. And if you adjust for the inventory distortions that you have seen in the market, then our first quarter share is up 0.9. So yeah, what we do in Germany is focus on innovation, Mix full flavor, the new Marlboro version there, has been relaunched. Blend 29 additive-free version is coming in May. On the OTP part we are out with the tobacco block, which is really innovation in that segment. It's the perfect make-your-own device if you like. We are selling about 20,000 machines per month, which means you attract 20,000 smokers per month. I think these are pretty positive things and indices we see there. I really have to come back to my first point Germany as a whole will always be a challenging market, that's clear.
Erik Bloomquist - J.P. Morgan Securities Ltd.: Okay, thank you.
Hermann Waldemer: You're welcome.
Operator: Thank you. Your next question is coming from Adam Spielman with Citigroup. Please go ahead.
Adam Spielman - Citi Investment Research: Good morning. It's Adam Spielman here.
Hermann Waldemer: Good morning, Adam.
Adam Spielman - Citi Investment Research: First question very quickly, if I may, you said that your volume this quarter was down 0.8% but if you adjusted for the duty free it was really .5% decline. If we adjust again for the Czech inventory issues, what would the underlying figure be?
Hermann Waldemer: Okay, I mean, the Czech situation is, of course, completely distorted there. I mean, the volumes in the Czech market are very low this year, this quarter, as we said before. On the other hand, our market share in the Czech market, then, correspondingly is very high. So it's totally distorted actually. I didn't want to take that out because it's so much of a distortion. It would be clearly better again, but I think that would not be fair to do that.
Adam Spielman - Citi Investment Research: Okay. Much more important point, though - this quarter obviously volume has been weak, but your net revenue growth has been good, in line with your long-term guidance and your OCI much better. And particularly as your innovation pipeline comes through, is it possible just to pose that actually we'll continue to see the same pattern so volume, relatively subdued but actually the net revenue line doing significantly better, if you like, so price mix very strong given the fact that your innovation is mainly on premium brands which will inevitably not only help volume but even more help the net revenue line?
Hermann Waldemer: Okay, I mean, you're right that the net revenue line is an extremely important line. And actually, we are happy and we are very satisfied that we are within the net revenue guidance nevertheless, although we are not yet, I would say, on our volume target of organic growth of a percent there. So it shows that we are able to deliver on the revenue line even without yet meeting the target on the volume line, and in terms of operating companies' income, we are also perfectly in line with our longer-term targets as we have given them out. That, however, will not make us complacent to work not as intense as we do right now on the volume line. Of course, we focus on innovation on the premium side of it but also on the mid-price side of it as I think the best example of that one is L&M in Eastern Europe. So we keep on working on all of them, but we are very pleased to see that we are doing well on the revenue line and on the OCI line.
Adam Spielman - Citi Investment Research: Just a very quick follow up. My understanding when you gave those targets in the road show was they were longer-term targets, and you said very clearly at the time you were unlikely to hit the volume targets in this year. When do you think it's - when does longer-term kick in, I guess is the question. When should we expect these targets to be applicable?
Hermann Waldemer: Look, I mean, as you rightly say that volume target, as we have said, for this year is that we will still see a slight decline. We are in the quarter at 0.5%. I think that is a slight decline. So that's the 2008 guidance on the volume side. We will see sequential improvement. That's our target, bringing it to stable volumes and go forward from there. To put the precise timing in terms of months on it, I think, is not possible. We want to do it as quickly as we can, believe me.
Adam Spielman - Citi Investment Research: Okay. And just finally, to come back to the question about the skew of the promotional spend, you said very clearly one of the reasons OCI was so strong this quarter is promotion is skewed away from this quarter to the rest of the year. Can you quantify what the OCI might have looked like had the skew - had promotion been evenly spread throughout the year? So instead of being 17%, would it have been, I don't know, 12% or something like that?
Hermann Waldemer: No. I mean, look, I mean, there's really - we come back to the guidance. I really would have to refer you to what we said. What went into the new guidance, the four elements - which are the currency, the business momentum, the reinvestment and the expenses - so those four form, at the end of the day, the basis for the new number.
Adam Spielman - Citi Investment Research: And you can't give a sort of - a more underlying -
Hermann Waldemer: I wouldn't want to go any further than that.
Adam Spielman - Citi Investment Research: Okay. Well, thank you very much.
Hermann Waldemer: You're welcome.
Operator: Thank you. (Operator Instructions) Your next question is coming from Jonathan Leinster with UBS. Sir, please go ahead.
Jonathan Leinster - UBS Limited: Hi. Good morning. Yeah, a couple of things. First of all, just to clarify, on the promotional expenditure is it fair to say that as of now under the new guidance that the total promotional expenditure in dollar terms expected in 2008 is higher than it was when you sort of gave the original guidance at the end of January?
Hermann Waldemer: Look, I mean, the point is that you have a skew of promotional expenditures through the remainder of the year.
Jonathan Leinster - UBS Limited: But it's -
Hermann Waldemer: That's one point, and the other point is, as you say, yes, we do reinvest in some of our key markets.
Jonathan Leinster - UBS Limited: Yeah. So the total should have been higher, whether it's skewed or not?
Hermann Waldemer: Well, as I say, two elements.
Jonathan Leinster - UBS Limited: Yeah.
Hermann Waldemer: It's timing on one side, but it's reinvestment on the other side.
Jonathan Leinster - UBS Limited: Secondly, with regards to the rapid rise of Chesterfield, Parliament and Virginia Slims, how much of that is a sort of geographic rollout or is it pure in-market growth for those brands?
Hermann Waldemer: Okay. Look, I mean, for example, take Chesterfield. I mean, Chesterfield is growing really enormously and doing extremely well in Ukraine and Russia. Just to give you a feeling for it, if you take the growth of Chesterfield in those two markets, then actually that growth almost matches the decline of L&M in those two markets. So this is not expansion, this is strength of that brand in the market. Chesterfield, however, is not only strong in those two. It is also showing good signs in Spain and in Italy, where it's growing as well. So it is growth in existing markets. There of course can be more markets where a brand can be expanded to later on, but right now this is existing markets. And Parliament, you have key markets like Turkey or Russia where Parliament is doing extremely well. Again, it gives us the potential to expand further, but it's not just kind of pipeline effect that you see there. This is real growth.
Jonathan Leinster - UBS Limited: Okay, thanks. And also just lastly, with regards to the new product innovations, a lot of them seem to be very much skewed towards the emerging markets, so Indonesia - I don't suppose Japan's hardly an emerging market, but I mean there's quite a lot going on in Japan - but how many [inaudible] have been introduced into the EU, which seems to be the real core problem are for Marlboro over the longer term?
Hermann Waldemer: No, look, I mean, there will be - there is actually already innovation also in the EU. I mean, Marlboro Mix full flavor has been re-launched in Germany in the quarter. I said before that Blend 29 is coming as an additive-free version in May. We have had tobacco [inaudible] in Germany. So we are having really quite a number of innovations also in those markets. We don't forget about those. It's coming everywhere.
Jonathan Leinster - UBS Limited: Okay. Thanks very much.
Hermann Waldemer: You're welcome.
Operator: Thank you. Your next question is coming from [Dennis Jonjac with Bessel Capital]. Please go ahead.
Dennis Jonjac - Bessel Capital: Hi, Hermann. Dennis here. Just very quickly just a point of clarification. Are you expecting China to contribute this year to EPS guidance? And where does, you know, the China strategy fit in overall as you look at markets, emerging markets, is it a priority? And the other question I had is in terms of the buyback program, is there a set kind of buyback in terms of buying back share on more of an opportunistic basis or just more kind of automatic buyback? If you could just comment on that, that would be great. Thanks.
Hermann Waldemer: Right. On China, I mean, meaningful EPS impact for this year, no. That's just too small to have an effect. Look, I mean, the key point really is for China to be [inaudible] partner of the China National Tobacco Company there. That is really the key in there; it is building long-term relationships in China. And that has really two elements to it, which is the China domestic element - that is Marlboro licensed production for the summer - and that is then on the other side really doing business internationally with them. That is illustrated by the launch of RGD in the Czech Republic. These are the two elements in there which describe best the overall strategy for China. On the buyback there is, look, I mean, early May we will start the buyback. This is a two-year program, and we will not be there speculative. We will, of course, follow all the rules that apply to share buybacks. That's, I guess, what I have to say on that one.
Dennis Jonjac - Bessel Capital: Great. Thank you.
Hermann Waldemer: You're welcome.
Operator: Thank you. Our final question is coming from Thomas Russo with Russo, Gardner & Gardner. Please go ahead.
Thomas Russo - Russo, Gardner & Gardner: Hi. Congratulations, Hermann. Congratulations in particular with the described halo effect that you referred to around the world as you roll out innovations to meet the consumers' demand for Marlboro. That's a most positive development.
Hermann Waldemer: Thank you very much, Tom.
Thomas Russo - Russo, Gardner & Gardner: You bet. A couple of questions. First, talk about the Interval acquisition and what the market is like in France for leaves. I think that's where you suggested that it was intended to serve your needs. And then what's the market like for fine cut in France?
Hermann Waldemer: Okay. Interval, actually, I mean, on that acquisition I would say we have said before that we are a tobacco company. There you see we mean that serious. Actually, Interval has a 14.8% share of the fine cut market in France. An estimated operating company's income of that would be some 25 million Euros. That's about the size of the business there. Important is actually this is the leading brand amongst young adults, legal age to 29. So it complements, I would say, our portfolio very nicely. We have been in that market in the entire EU region quite a bit, but we have been in there mostly with our cigarette trademarks and there we really have now a real grow-your-own trademark there, we have acquired there, so that's another positive of that acquisition.
Thomas Russo - Russo, Gardner & Gardner: And aren't there markets where they're in-market, 14.8% share in France. Where else do they do business?
Hermann Waldemer: Interval is very much concentrated in France.
Thomas Russo - Russo, Gardner & Gardner: Yeah.
Hermann Waldemer: It exists also in Spain, Luxembourg, Belgium, i.e., the surrounding countries, but it is skewed towards France. That doesn't mean that it's just a French brand.
Thomas Russo - Russo, Gardner & Gardner: Yeah, yeah. And then you'd mentioned at some point during the road show there were questions about leaves, both availability of leaves and maybe the unusual cost of leaves. I'm wondering whether it's had any impact.
Hermann Waldemer: No, I mean, the storyline is exactly the same as we described it in the road show. I mean, simply the fact that leaf durations go well beyond a year, therefore it means that when you buy somewhat more expensive leaf at the beginning it only will hit your income statement over time, so you have very little effect of that in the first quarter.
Thomas Russo - Russo, Gardner & Gardner: Thank you, and thank you for the call.
Hermann Waldemer: You're welcome. Thank you.
Nicholas Rolli : Well, thank you very much for joining us this morning. We ran a little over but we wanted to make sure that took all the questions, and we appreciate you joining us. That concludes our conference call. Our 2008 second quarter conference call is scheduled for Wednesday, July 23, so we'll continue to post updated information on the PMI website so please refer to the website for additional information. Thank you very much, and have a great day.